Operator: Good morning and welcome to the Heliogen First Quarter 2022 Conference Call. As a reminder, today's call is being recorded. [Operator Instructions] I would now like to turn the call over to Louis Baltimore, Heliogen's Vice President of Investor Relations for opening remarks and introductions.
Louis Baltimore: Thank you, operator and good morning to everyone. We're glad you could join us today for our first quarter 2022 conference call. With us on today's call are Bill Gross, Heliogen's Founder & Chief Executive Officer; and Christie Obiaya, our Chief Financial Officer. Heliogen issues its results yesterday in a press release that can be found on the Investor Section of our website at heliogen.com. As a reminder, our comments on this call include forward-looking statements which are subject to various risks and uncertainties. These statements include expectations and assumptions regarding potential award grants, the company's future operations, and financial performance, including our guidance for full year 2022. Actual results could differ materially from those contemplated in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. Factors that could cause actual results to differ materially could be found in this morning’s press release and other documents filed with the SEC by the company from time to time including our amended annual report on Form 10-KA. During this call we may also refer to certain non-GAAP financial measures including EBITDA and adjusted EBITDA. These non-GAAP financial measures should be considered in addition to and not as a substitute for or an isolation from GAAP results. More detailed information about these measures and a reconciliation in the most comparable US GAAP measures is contained in the press release issued this morning, which is available in the Investor Section of our website and was furnished on Form 8-K with the SEC. The replay of this call will also be available on the investor section of our company website this afternoon. And with that, I'm pleased to turn the call over to Bill Gross, our Founder and Chief Executive Officer.
Bill Gross: Thank you, Louis. And thanks to everyone for joining us this morning. I'm incredibly excited to speak to you today on our second conference call as a public company. First, I'll provide an update on our progress as relates to the key milestones we laid out be with our last report. Then I'll turn it over to Christie to walk you through our key financial aspects of the first quarter. Our mission is to build an enduringly profitable, scalable business that contributes to achieving the net zero ambition by decarbonizing heavy industry. We chose to focus on heavy industry because it's the largest energy consuming sector in the world, and is currently wildly underserved by renewable energy. Our systems, which replace industrial burning of fossil fuel with concentrated sunlight, are especially needed right now. And we have developed proprietary technology that meets the energy needs of heavy industry. Our technology concentrates sunlight to extremely high temperatures, using an AI based control system that turns a field of small mirrors into effect, a self-adjusting huge magnifying glass at scale. We use that to create 100% carbon free solar thermal energy, at temperature up to 1,000 degrees Celsius, which can be used to make steam, electric power, or green hydrogen. We call these three end products, HelioHeat, HelioPower, and HelioFuel. If you're new to Heliogen story or would like a refresher, I'll refer you to our full year 2021 conference call from March 29, during which we provided a more detailed overview of our business. Before we get into our progress on individual milestones, I am pleased to say that we remain on track with the plan for this year that we laid out in our last earnings call. Given the rapid pace of growth and goals we set out to achieve, I'm proud of what our team has done so far. We continue to execute against our goals, despite the ongoing supply chain disruptions. Fortunately, our product is unique among renewable energy technologies, and using software to derive value from widely available commodities, such as steel, glass and aluminum instead of relying on expensive and limited materials, such as cobalt, and lithium. The geopolitical situation has caused fossil fuel prices to double in the past year, provides a strong tailwind for our customer discussions. Because we are intent on matching or beating our customers’ avoided cost of fossil fuels and delivering our products to them with zero carbon emissions. The geopolitical situation has made both of those objectives more urgent for our current and potential customers. You may have seen the headlines about a recent Department of Commerce investigation to determine whether PV solar panels are being assembled with Chinese components in Southeast Asia to get around the PV tariffs. Because we are solar thermal and not solar PV. We are not impacted by any future changes to Chinese tariffs on PV or recent lawsuits that have put hundreds of PV projects on hold. Another final note on market tailwinds, because of the world's massive shift towards electric vehicles, Lithium has become many times more valuable, and mining companies around the world are scaling up their operations to deliver much more. Thermal energy is a critical component to these mining operations. Almost all of these mines are in remote off grid locations. In places where it is often complicated or expensive to add transmission lines or pipelines. Heliogen is uniquely positioned to provide thermal energy in remote locations, making the mining sector a particularly attractive opportunity for our solutions. If you turn to page 6 of the presentation posted on our website, you'll see we've laid out our 2022 commercial and execution milestones in chronological order. It's been only eight weeks since our last conference call yet we have made meaningful progress in that short time, and we are on track to achieve several more important milestones during the second half of this year. As we announced on March 28, we have finalized the contract for our first commercial module with Woodside. This project supports the design and build of commercial scale, 5 five megawatt electric demonstration facility and also includes the scope of funding of our previously announced $39 million award from the US Department of Energy. For this project, we will build, deploy and test a supercritical carbon dioxide, supercritical co2, Sco2, power generation system coupled with our AI enabled heliostat field. While our concentrated solar energy system can also be paired with existing steam turbine technology to convert thermal energy to power, supercritical CO2 has the potential to deliver higher efficiency, lower cost power generation with a smaller footprint and with reduced water use. Our focus on the new approach, which uses supercritical CO2 Technology is one of many examples of where Heliogen continues to innovate, to bring more value to all stakeholders and stay ahead of the competition. Along with the Woodside project agreement, we also entered into a collaboration agreement with Woodside to jointly market and identify opportunities for deploying Heliogen technology throughout Australia. Woodside brings both familiarity with and access to industrial owner operators in Australia that could really benefit from Heliogen’s technology. Australia's resource base, climate and geography makes it one of the best places on the planet to deploy our technology. We are very enthusiastic about this partnership to help Woodside achieve its energy transition targets, while also helping us to expand our business, one of the largest global markets for our technology. We also continue to make progress with the permitting and approvals process for the Woodside project. We have filed our conditional use permit application, along with the necessary technical studies with Kern County, California, and the county has deemed that complete. In parallel with the permitting process, the detailed engineering work is well underway. And we are engaging with our supply chain partners. We expect to begin construction once the permitting process is complete. Another one of our key execution milestones is a selection and announcement of our major supply chain partners. And we're making great progress on that front too. For example, we recently announced that we partnered with Hanwha Power Systems, a global leader in the development of ecofriendly power generation solutions. As part of this partnership, we jointly developed a modular, high efficiency, five megawatt electric supercritical CO2 power block, integrated with high temperature solid media thermal energy storage for deployment as part of the DOE award and Hanwha will manufacture it. We see this partnership as an endorsement from Hanwha of our technical capabilities, and the long-term potential of supercritical CO2 as an evolution in electric power generation. It's also one example of the way we leverage the scale and expertise of third party manufacturers to help reduce our own capital expenditure needs. The supercritical Co2 power block is designed to meet the renewable power generation requirements for industrial customers and energy, mining and other heavy industries. And we see a huge potential for this technology to enhance our HelioPower product offerings. On the manufacturing front, in February, we announced initial site preparation for our Heliostat production facility in Long Beach, California. And we are progressing there as planned. Our rapid prototyping capabilities are fully operational, we now have operational automated mirror and actuator pilot lines that we're using to develop and tune critical processes and equipment. We expect one final piece of equipment to be installed later this month to complete our reliability and test lab, which is being used for product validation and lifecycle testing. We are preparing for the installation of the main production lines, which will give us the capability to significantly boost the Heliostat production capability while reducing our production costs. We remain on track for this portion to be fully operational later this year, completing the Long Beach facility. Once we get these main production lines up and running, we'll be sure to share some great video and photo content with you via our website and social media channels. The important part to note about this automated robotic, large scale concentrated solar manufacturing facility is that we believe to be the first of its kind in the world. Dedicated to efficient, mass manufacturing of the Heliostats used in concentrated solar energy production. This is an important difference. Old generation Heliostats are too large for automated manufacturing and have to be constructed with manual labor in the field. Whereas Heliogen Heliostats are small enough for repeatable automated manufacturing processes, which take place entirely in our facility for quality control and cost efficiencies can be achieved. The use of these small heliostats are made possible because our innovative software control system. In February, we also announced the award of an exclusive lease agreement with the US Bureau of Land Management for the Brenda Solar Energy Zone in Arizona. We plan to develop a facility to produce up to 20,000 metric tons of green hydrogen per year. This site is an ideal location for commercial scale green hydrogen production, due to its ample local water supply, and its proximity to key distribution channels. Since our last earnings call, we fully executed the lease with the Bureau of Land Management, and are now working on our plan of development, which we anticipate submitting to the BLM before starting the National Environmental Policy Act permitting process. Our ultimate goal is to leverage the attractive aspects of this site and our in-house project development expertise in order to partner with a hydrogen producer that wants to own and operate a Heliogen developed HelioFuel hydrogen production facility. The US federal government and many other governments around the world recognize the importance of mitigating the effects of climate change, and have allocated large sums of money for grants, low interest loan guarantees and other monetary partnerships. The $39 million deal award which I mentioned earlier, is just the first of several we aim to receive over the next few years to help fund and accelerate the advancement of our game changing industrial decarburization technology. The DOE is also attempting to place over $40 billion in funding grants, loans and loan guarantees that Heliogen concentrated solar energy technology qualifies for. There are also additional government funding opportunities at state and local levels here in the United States, in addition to international grant programs overseas, that we also qualify for. We have an experienced team working on this public sector funding effort, led by Tom Doyle, our Chief Commercial Officer. Tom has extensive experience in successfully navigating his grant and guarantee programs. Over a two year period Brightsource, Tom secured $1.75 billion in low interest, DOE loan guarantees and manage additional DOE guaranteed loans for a total of over $5 billion. This is just a part of the valuable experience and skill set Tom brings to Heliogen gained over his 25 years developing utility scale energy projects globally. We have already applied for several additional awards, and we look forward to sharing more about these efforts as we secure additional funding and make progress on these efforts. Now I'd like to turn over the call to Christie Obiaya, our CFO.
Christie Obiaya: Thank you, Bill. And thanks to everyone for joining us. Let's first talk about our progress as it relates to our primary guidance metric of two to three modules contracted in 2022. We remain on track with this guidance. As Bill mentioned, at the end of March, we executed with our customer Woodside our first full contract for our commercial scale module. We also continue to progress additional module contracts. This includes the HelioHeat module that we've been selected to deploy for Rio Tinto, the global metals and mining company at their mine in Boron, California. We've been working to finalize the design and to structure the full contract for that facility. We continue to make good progress on this effort and we expect to have that contract finalized in the coming months. We expect these two contracts to get us to the low end of our guidance range. We're in additional discussions with some new and very interesting potential customers that indicate wide application for our HelioHeat technology for industrial heat applications ranging from steel manufacturing in Africa, to solar desalination in California to high value mineral mines and various locations worldwide. Closing any one of these deals in addition to the two I just mentioned, would get us to the high end of our guidance range and we have more in our pipeline. The module that we contract this year will serve as the foundation for our revenues over the next few years. Now, let me cover our financial results starting with the restated full year 2021 financials that we published today along with the Q1 results. From a high level the 2021 restatement has no impact on Heliogen’s operations, business prospects or liquidity. You may recall we are currently performing against a DOE award contract, which we entered into during the fourth quarter of 2021. That award is related to one of our first commercial scale projects for HelioPower offering with our customer Woodside. As part of our first quarter 2022 financial statements preparation process, we determined that the DOE award should be recorded under a grant accounting model. So we've restated our 2021 financials to reflect this change in accounting. We continue to report the funds receivable under the DOE award as revenue that we earn as we incur costs related to the project. The net result of this accounting change was no change to revenue reported for 2021 and the reversal of a contract loss previously attributed to the DOE award that is no longer required under grant accounting, which reduces our 2021 gross loss by about $4 million. This loss was instead recognized in Q1 2022 following the execution of our recent Woodside contract. Simply put, the restatement is a timing difference and loss recognition for our first contract. By April 1, 2022, we have the same balance sheet outcome regardless of which accounting treatment was used. This revised accounting has no impact on the company's liquidity, operations, business prospects, or on the overall economics of the project. Moving on to our results from the first quarter of 2022. In Q1, Heliogen reported $3.5 million in revenue on our contracts in progress. We fully expected our revenue this year to be back halfway given the fact that we signed the Woodside project contract at the end of March. And so in fact, the revenue that we recognized during the first quarter puts us on track toward our $20 million to $25 million revenue guidance for the full year of 2022. With the funding from Woodside combined with the application of the DOE award, we have contracts in place for our first module to provide $89 million in gross contractual value, which will translate to approximately $85 million of net revenue that we expect to recognize over a multi-year period. That difference between contract value and net revenue that we expect to recognize is due to a difference in what is recognizable under GAAP guidance related to the Woodside contract. And we've laid this out on page seven in our earnings presentation. During Q1, we also recognized a non-cash contract loss provision of $33 million associated with our execution of the Woodside project agreement from late March. You can see this provision for contract losses in our income statement. That amount is for all aspects of the project. So it is net of a $2 million gross loss already recorded in Q4 2021. And it includes the $4 million contract loss that was reversed from 2021 as mentioned earlier. In total and considering amounts previously recognized in Q4, 2021, we are currently estimating an approximate $35 million loss on our first module, which reflects the fact that our total project cost estimates exceed the total of revenue to be earned under the Woodside contract and cash we received under the DOE award. From a cash perspective, that estimated loss will be incurred over the multiyear project duration. But accounting rules require us to recognize the loss when our estimates indicate a loss of evidence. And that occurred in Q1, 2022 with the execution of the Woodside contract, and our first commitment to construct and deliver our commercial scale module. It is possible that our cost estimates could change as we continue executing the project. And if that happens, we will provide updates as we know them. Ultimately, we can expect to return on this investment in the form of major new contracts for our HelioPower modules once this first project is installed. The success of this project and our other early projects will be defining events for our company because we will be deploying our novel clean energy technology at commercial scale for our customers for the first time. The real world operating history, data and insights that Heliogen and our customers will gain from these first commercial scale modules has an economic value that goes far beyond the dollars that we will invest with our partners to build these first few systems. It's not every day an emerging growth company like ours can say that it’s first commercial scan facility is being so largely funded by a customer. And that is a testament to both the promise of our technology and the strength of our early customer partnerships. We are fortunate and grateful to have such strong strategic partners as Woodside and the DOE leaning in with us in our commercialization efforts. Our strategy is to deploy single modules with these first few customers as a foundation for much larger multi module installations. We recognize that some prospective customers will be more comfortable committing to large multi module projects once they can see the performance, reliability and efficiency data from our first projects. Meanwhile, for HelioHeat steam modules, we are already in discussions for multi module projects with the potential for an earlier timeline. Since these steam modules have simpler scale up considerations than HelioPower or HelioFuel. As we've discussed previously, we expect to use multiple parallel avenues to drive unit cost down and ultimately achieve attractive levels of profitability for Heliogen, while reducing our customer’s carbon footprints and their reliance on fossil fuels. The first avenue is economies of scale. Our initial projects are one off single modules. There are certain fixed costs on any project that will not grow linearly with project size. And so as we start deploying multi module projects, we expect to see a decrease in the cost per module. Higher volume recurring purchases are the second avenue towards cost reduction, because when we were buying many receivers or many electrolyzers, for example, we can obtain better pricing from our suppliers. We're currently focusing our in-house manufacturing capabilities on heliostats because even one single module involves 1000s of these components. The third avenue comes from learning for cost reductions both in our factory during manufacturing, and out in the field during installation, commissioning and testing as we reap the benefits of repetition that are enabled by our modular approach. Andy Lambert, our Chief Production and Supply Chain Officer brings a demonstrated track record of consistently delivering significant productivity gains over three to five year timeframes during his career. Our facilities and processes are designed so we will be able to measure our progress on a daily and weekly basis and rapidly make adjustments to improve efficiency and reduce cost. In the meantime, I look forward to sharing further progress with you in the future. And with that, I'd now like to turn it back to Bill for closing remarks.
Bill Gross: Thank you very much, Christie. I'd like to conclude today's call by saying how thrilled I am to lead the Heliogen, as we work to help industrial companies decarbonize by cost effectively eliminating fossil fuels from their energy intensive processes. I look forward to providing you with additional updates as the year progresses. Before we open up to Q&A, please turn to page 10 where we have laid out for you here is what I believe will enable Heliogen succeed in its mission, while also generating high returns on the capital we are deploying. Heliogen offers a differentiated product to the large and growing industrial market by leveraging its proprietary technology. This technology is underpinned by cutting edge software that generates efficiencies never seen before in solar energy production. We expect our extensive patent portfolio, our trade secrets, and our learnings help us maintain and defend these competitive advantages. Potential of this software extends beyond the field too, as we plan to apply AI technology across the entire value chain to reduce costs. Thank you so much for your attention, and we look forward to answering your questions.
Operator: [Operator Instructions] And first question comes from the line of Rob Wertheimer with Melius Research.
Rob Wertheimer: Hi, good morning, everyone. Bill, if I may, I wanted to start out with a couple of technology questions. Supercritical CO2 is a more efficient and kind of interesting new technology in the world. I think there's a couple of complements with what you guys do with power density modularity. I don't know whether there is digital advantages with the high temperature you generate, which often leads to efficiency in different power applications. Can you just talk a little bit about if there's any special advantages Heliogen brings to that technology?
Bill Gross: Yes, you're exactly right, Rob. Right now, concentrated solar has previously run only at temperatures in the range of 500 degrees centigrade, which requires you to use a steam turbine for energy conversion. Steam turbines only become efficient at the 50 to 100 megawatt or larger size. So a lot of the concentrated solar CSP plants have been built, have to use 50 megawatt to 100 megawatt steam turbines. The supercritical CO2 turbine can reach the same efficiency at a steam turbine at only five megawatts size because it's running at higher temperature. We can achieve those higher temperatures. So what's the benefit? The benefit is a five megawatt supercritical CO2 turbine can fit on a skid and be delivered to the site fully assembled. That is a huge advantage for modularity, installation time, reliability and serviceability contrasted with a 50 megawatt or 100 megawatt steam turbine, which is a multi-month installation process. So this is the theme of everything we're doing at our company, is to make things that are modular, repeatable and can be driven down in cost through that repetition. So the supercritical CO2 turbine delivers that capability. And it's our high temperatures, which enable that possibility.
Rob Wertheimer: Perfect, thank you. And then on slide 6, you have testing of autonomous robots for cleaning. Obviously, mirrors get dirty, and so you lose efficiency. And so you're trying to keep efficiency high in a cost effective way. Could you characterize how mature that technology is? Is that something that's easily solvable and easily predictable? Are you still solving fundamental problems there? What's the odds of that working out?
Bill Gross: That capability comes from our basis as a software company. We have all of the internal team who has expertise in autonomous vehicles, both from the LIDAR, the programming, the location finding, the image recognition, we use that for our tracking technology, we also use it for the cleaning technology. We demonstrated that already at our facility at Lancaster last summer. And we're building that out for commercial deployment at our first site next year. So we really have great control over that. And it is an important part of our reduction of the O&M costs of the long-term operations of our plants.
Rob Wertheimer: Given the comparison, I mean, I assume the same thing happens with existing solar thermal where we're, this is, I guess, one of the many problems you're solving or aiming to solve, how often do they get cleaned? And then how much efficiency are you trying to sort [Indiscernible] by keeping mirrors clean, and how often you clean, et cetera,? versus what has been possible to date in older solid thermals?
Bill Gross: That's a great question. It is an important part of the maintenance and performance of a plant. Typically, because the mirrors have been cleaned manually, people only clean them approximately once a quarter, or maybe even as often as once a month. But it's expensive to do that. With our autonomous system, our vehicles can clean the mirrors every night. So that leads to between a 10% and 20%, in performance improvement because the mirrors gather dust in between rainfall and we can remove that as we process the mirrors every single night. So it's a significant, both cost advantage and performance advantage to deliver autonomous cleaning. And again, it's one of the core competencies of our company to be able to develop that internally
Rob Wertheimer: Perfect, thank you. I had a couple of questions on timeline on slide six, if I may. For one, once a module starts production, once it's permanent once you start putting it into the ground, I'm not sure I know what your current timeline is on how long that might take to construct and I guess, therefore, how long it might apply to revenue recognition.
Christie Obiaya: Yes, great question, Rob. Hi, this is Christie. So on the timeline, we have as you know, a couple of different product offerings and for HelioHeat modules that - those projects can be constructed in the span of many months, whereas our HelioPower modules take incrementally longer to construct and our HelioFuel which add another increment with the hydrogen element and the electrolyzer take incrementally longer as well. And so what we expect is that by achieving our 2022 guidance in terms of modules contracted, that puts us well on track to have several installed modules completed in 2023. So that's currently the time horizon that we're looking at. And then in the meantime, from a revenue recognition perspective, as soon as we signed contracts, we are immediately able to begin recognizing revenue against those contracts and start earning which is what you started to see with our initial contract with the Woodside customer.
Rob Wertheimer: Perfect and then when you think about groundbreaking in the factory and heliostat production, does the full module construction assume full production lines? I don't know whether you're doing anything with pilot lines to create enough heliostats to get a start on that.
Christie Obiaya: Yes, so we've actually already got our prototyping line up and running. And we're very excited to be on track with our full assembly line heliostat production for later in the second half of this year. So that remains on track. And we're looking forward to being able to share the video and some examples of what those heliostats look like coming off of the line later this year.
Rob Wertheimer: Okay, and then I think I asked last quarter. But can you talk a bit about the progress? I know you've had inbound inquiries, I don't know if you can quantify how many but I'm sure there's a lot of interest in Heliogen from customers. Can you talk about the steps, is customers moved from inquiry into intellectual contracts, what the steps are and then I don't know if you can quantify how many people had different steps et cetera. I don't know whether most of your customers are waiting to see the first two modules in operation or whether you have a large number that are working through permitting in anticipation of getting there before watching other facilities operational?
Christie Obiaya: Yes. Okay. Lot of interesting questions there. So let me unpack them piece by piece. So in terms of the steps, the steps on the path to getting contracts signed, early on, we enter discussions with prospective customers, we've gotten so much inbound inquiry, and I think that one of the things that we're most excited about is over the last several months even we've seen more interest from, frankly, sectors that we had not even considered when we first embarked on this effort. And those are things like, for example, the high value minerals and those kinds of desalination, those kinds of things. And so we've seen an expansion in the potential sectors for application of that technology. So that's one thing that as we were talking about the Q, I would say the sector diversity of the Q has expanded. The other thing that I would say about steps toward progressing to full contracts, is that like you mentioned, we do have stuff that includes things like permitting and identification of project sites. And so one of the first things that happens when we have an inquiry or when we're exploring a project with a customer is to look at the solar resource. And fortunately, we've got great sun access in so many parts of the world. And so we continue to focus on places like Australia, and South America and Mexico, and even looking at South Africa, in terms of where the solar resource is incredibly strong, and where there's a lot of demand. And so we, I would say that, in general, are in various stages with different prospective customers across that range of inquiry, ranging from projects entering the Q and getting their solar resource assessed, all the way to actually structuring contracts and looking at specific module locations that we're progressing negotiations on. In terms of how customers, your other part of the question in terms of how customers look at whether they sign up now versus waiting to see, we've got a mix of both really. There certainly are customers who say, we want to see the project when it's fully completed, we want to get a chance to look at the operating data. And that's the kind of thing that are, our initial modules will demonstrate when we scale up. But there are actually customers that are in our pipeline who we are looking at multi module projects with even before we have put the first couple of projects in the ground. And those are the kinds of customers who are really eager to lean forward in part because they've already made commitments to decarburization targets and those kinds of things. And so there are customers on that front. I would say, particularly on our HelioHeat offering, which has, I would say, a more direct path to scale up in terms of execution risk being even lower than on the HelioPower offering. So hopefully I've addressed the questions you --, yes, let me know if I left anything else out.
Rob Wertheimer: No, you did. And then my last question, I think, is just if you look through slide 7 on the Woodside project, I think Christie, you gave a pretty good overview of the scale that you're aiming to build if orders come in, that will reduce project costs overall. Is there anything in this project you expected loss on it that informs your, changes your view on your future profitability per project? I don't know, if there's anything one off in this that we should subtract or not? Or whether it's really all just scale that comes through and makes the margins that you hope to get in few years?
Christie Obiaya: Yes, that's a great question. So essentially, this is really an investment in our future for the HelioPower modules. This loss that you're referring to on this first Woodside contract. And we are expecting new projects on the back of the success of this project in the HelioPower front. And then in terms of whether this is representative, I think we've always message to the market that we do expect our initial projects to be loss making projects, which I think is typical whenever you're scaling up new technology, but we're actually very fortunate to have these great partners leaning forward with us because I think it's unusual, frankly, to have new technology companies have so much of their first projects fully funded, or the majority of them funded by prospective customers. And so it's overall very, very positive story and then in terms of whether you can expect this kind of thing going forward. I think as mentioned, we do expect our first several projects to be loss making before we transition to gross margin profitable projects. There is an element of one off nature of this particular project because of the fact that we're combining this with the Department of Energy Award, which has incremental scope. And so there's some different things that we're doing on this project that I think would not have that same expanded scope on future HelioPower modules and whatnot. So hopefully that gives a little bit of a sense of how you can look at this project relative to Heliogen’s future projects. At this time, we've reached the end of the question and answer session. I'll now turn the call over to Bill Gross for closing remarks.
Bill Gross: Well, thank you very much for attending. We're really excited about our progress. I'm here right now in Davos at the World Economic Forum presenting Heliogen Tomorrow. And here at the forum, climate change and alternative energy is having its Netscape moment right now, it's like the internet opportunity taking off like a rocket ship in 1995 when Netscape went public, the climate investment opportunity is even bigger than that. And it's the discussion that's on everybody's lips right now, with what's happening with globalization and energy shortages, with the fact that natural gas went up by a factor of three in United States but in the last year with the fact that lithium went up by a factor of five in the last year, and with the electrification of transportation, all these minerals, all this energy is needed so badly, and renewable energy and the thing that we're doing with Heliogen really ends the geo-logic lottery. The idea that some places on earth happen to have oil under the ground, we can take advantage of so many places on earth that have sunshine above the ground, and we're really excited to pursue this opportunity and grow the company. Thank you so much for following us and we look forward to sharing more information with you soon.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.